Operator: Good morning, ladies and gentlemen, and welcome to AvalonBay Communities Third Quarter 2024 Earnings Conference Call. [Operator Instructions] Your host for today's call is Mr. Jason Reilley, Vice President of Investor Relations. Mr. Reilley, you may begin your conference call.
Jason Reilley: Thank you, Melissa, and welcome to AvalonBay Communities' third quarter 2024 earnings conference call. Before we begin, please note that forward-looking statements may be made during this discussion. There are a variety of risks and uncertainties associated with forward-looking statements and actual results may differ materially. There is a discussion of these risks and uncertainties in yesterday afternoon's press release, as well as in the company's Form 10-K and Form 10-Q filed with the SEC. As usual, the press release does include an attachment with definitions and reconciliations of non-GAAP financial measures and other terms, which may be used in today's discussion. The attachment is also available on our website, at www.avalonbay.com/earnings, and we encourage you to refer to this information during the review of our operating results and financial performance. And with that, I'll turn the call over to Ben Schall, CEO and President of AvalonBay Communities for his remarks. Ben?
Benjamin Schall: Thank you, Jason, and thank you everyone for joining us today. I'm here with Kevin O'Shea, our Chief Financial Officer; Matt Birenbaum, our Chief Investment Officer; and Sean Breslin, our Chief Operating Officer. Sean and I have some prepared remarks, and then we'll open the line for questions. Per our practice, we posted a presentation in conjunction with our earnings release, which we will reference on today's call. I'd like to start today's call with an update on the four strategic priorities we highlighted during our Investor Day last November. As summarized on Slide 4 of the earnings presentation, our organization has been laser-focused on executing our plans in each one of these areas, confident that they will continue to deliver superior growth for shareholders. First, as highlighted on Slide 5, we continue to make meaningful progress in transforming our operating model and driving both operating efficiencies and incremental revenue. Last November, we raised our target to $80 million of annual incremental NOI to come as a result of these operating initiatives. We are tracking on plan, including further deployments of AvalonConnect and our neighborhood operating model, as well as advancements in our utilization of AI. By yearend, we expect to add another $10 million, bringing our total achievement to $37 million towards our $80 million target, highlighting both our strong progress to-date and the significant runway of future earnings we expect to deliver over the coming years. Second, we continue to optimize our portfolio's future growth through proactive portfolio management and our strategy to increase our allocation to the suburbs and our expansion regions as summarized on Slide 6. Our portfolio is now 73% suburban, up from 70% last year and well-positioned in the near-term to benefit from steady demand and low levels of new supply, and in the long-term from shifting demographics, including aging millennials. We also continue to make steady progress toward our expansion region target of 25%, having now reached a 10% allocation. This year, we sold almost $600 million of assets, all from our established regions, half urban and half suburban, and reallocated that capital predominantly to suburban assets in our expansion regions at a very attractive basis as we look to further optimize and diversify our portfolio for the future. The third area that we detailed at our Investor Day was our unique development growth engine and our ability to consistently drive accretive external growth. As highlighted on Slide 7, our 2024 completions have meaningfully outperformed our original underwriting, achieving a 6.5% yield or 50 basis points above pro forma, generating additional earnings growth and value creation. We've increased our planned development starts for this year to nearly $1.1 billion with a projected untrended initial stabilized yield of 6.3% on these projects, which we consider to be well within our strike zone of generating 100 to 150 basis points of spread to both underlying cap rates and our cost of capital. Looking forward, we believe there could be an attractive window to further leverage our development capabilities and our cost of capital advantage to capture an outsized share of what's likely to be a lower overall level of new starts in the industry. Which brings me to our fourth strategic priority, ensuring continuous access to cost effective capital to fuel future growth. As highlighted on Slide 8, our balance sheet is as strong as it's ever been, among the strongest in the REIT industry, and supported further by our recent forward equity activity, sourcing $850 million at an implied initial cost of approximately 5% to fund future accretive development. We committed to providing this type of follow-up to you at our Investor Day last year, and we're pleased to report out on the strong progress that we've made in each of these four strategic priorities over the last 12 months. We're confident these strategies will position AvalonBay for continued superior growth in the quarters and years ahead. And as I transition to our Q3 results, I want to thank our 3,000 AvalonBay associates for their effort, collaboration, and commitment to these strategic priorities and for delivering another strong quarter of results. Slide 9 summarizes Q3 and year-to-date results and activities with the headline being that we exceeded core FFO guidance for the quarter by $0.03 per share. We also started $450 million of new developments this quarter as part of our planned $1.1 billion of starts this year, a vintage of projects that should face less competition when they open for leasing in a couple of years. Based on our continued operating momentum, we increased our full year core FFO guidance for 2024 for the third time this year to $11.04 per share, implying a peer-leading 3.9% core FFO growth rate as highlighted on Slide 10. For our same-store portfolio, we continue to expect same-store revenue growth of 3.5% and we lowered the midpoint of our same-store operating expense estimate by 30 basis points to 4.5%, which resulted in an increase in our same-store NOI guidance to 3% for the full year 2024. Sean will now speak to our performance in more detail, our momentum in Q4 and our building blocks as we head into 2025. Sean?
Sean Breslin: All right. Thanks, Ben. Moving to Slide 11 to address recent portfolio trends. Third quarter performance was strong and our same-store portfolio is well-positioned heading into the slower leasing season. Turnover continues to trend well below historical norms, which is typically around 55% on a full year basis, driven in part by a substantially lower volume of move-outs to purchase a home in our established regions, which remains at record lows. Additionally, economic occupancy has increased from the mid-summer low point and we expect it to remain relatively stable during Q4. Turning to Slide 12, during our mid-year earnings call, I mentioned the possibility of a reacceleration in asking rent and rent change given softer comps from Q4 2023. We're now starting to see that trend come to fruition. In the chart on the left, asking rent growth during the year has followed traditional seasonal curves and outperformed our experience throughout 2023. Recently, the level of outperformance has widened, and as of November 1, the average asking rent for our same-store portfolio was approximately 3% greater than the same date last year with the East Coast roughly 4% higher and the West Coast about 2%. The higher average asking rent will flow through to improved rent change, particularly for new move-ins as we look forward. Currently, we're forecasting rent change in November to be stronger than October and increase further as we move through December. Moving to Slide 13 and the outlook for 2025 revenue growth, we expect healthy job and wage growth, a financially well-positioned renter and relatively unaffordable for-sale housing alternatives will all support steady demand for our apartment homes in the year ahead. In Chart 1 on Slide 13, renters in our established coastal regions have experienced strong wage growth over the last several years, so rent-to-income ratios have actually declined and are currently about 10% below where they were at the beginning of 2020. This is important in understanding the potential capacity of renters to pay higher rents, all else being equal. Moving to Chart 2, renting an apartment in our established regions continues to be much more affordable than owning a home with the spread being the widest we've ever seen. This lack of affordable for-sale alternatives should continue to support a lower level of resident turnover and a greater propensity for new households to rent versus own. Moving to Slide 14 and the outlook for supply, our established coastal regions are expected to see new deliveries of 1.4% of existing stock in 2025, roughly 100 basis points lower than what's forecast for the Sunbelt, which is already facing a challenging operating environment given the record level of deliveries over the past year. Our same-store portfolio will further benefit from being roughly 70% suburban, where deliveries are expected to be roughly 1% of stock in 2025. Overall, we believe our portfolio is well insulated from the impact of excessive new supply in 2025. Turning to Slide 15, I'll address the building blocks for revenue growth in 2025. First, we're projecting embedded revenue growth or the earn-in to be roughly 1.1% or approximately 10 basis points greater than where we started 2024. Second, we've estimated that underlying bad debt from residents will improve by roughly 60 basis points from 2023 to 2024, and it has improved on a year-over-year basis in each quarter so far this year. While we haven't yet completed our forecast for 2025, we expect continued improvement in underlying bad debt throughout the upcoming year. And third, we expect to again produce strong other rental revenue growth during the coming year. While we don't expect the growth rate to be quite as strong as the roughly 15% increase we're forecasting for 2024, it should still contribute meaningfully to overall revenue growth for 2025. Moving to the outlook for operating expense growth on Slide 16, we expect overall operating expense pressures to moderate as we move into 2025. In terms of some of the key drivers, the impact from the expiration of tax abatement programs, notably the 421-a program in New York City, will still be present but ease in 2025. Additionally, given our AvalonConnect offering will be substantially deployed across the portfolio, the impact on our utilities expense in 2025 will be materially less than what we experienced in 2024. Most other categories are expected to grow modestly as we look to 2025. Now I'll turn it back to Ben for some more summary comments before we open it up to Q&A. Ben?
Benjamin Schall: Thanks, Sean. To quickly summarize, Q3 results exceeded our expectations and supported a further increase to our full year earnings guidance. Our outlook heading into 2025 looks healthy, particularly given the fundamentals in our established regions. We're leaning further into development, a powerful driver of differentiated earnings growth and value-creation, and we will continue to execute as an organization on a set of strategic priorities that we are confident will continue to deliver superior growth for shareholders. And with that, I'll turn it to the operator to facilitate questions.
Operator: [Operator Instructions] Thank you. Our first question comes from the line of Eric Wolfe with Citi. Please proceed with your question.
Eric Wolfe: Hi, thanks for taking my questions. You mentioned that deliveries as a percentage of stock should be around 1.4% next year, which I think is down a little bit from this year. Just based on what you're seeing on the ground, your pro formas, like where do you think that percentage could go over the next couple of years? I'm just trying to understand how supply risk might change, especially as you're increasing your Sunbelt concentration.
Sean Breslin: Yes, Eric, this is Sean. I can comment then Matt or others can certainly speak to it as well. But as it relates to our established coastal regions, first for 2025, we're expecting a reduction in delivery across those regions with the one exception being New York City, which actually is forecast to have a slight uptick. It's not material, but a slight uptick in deliveries in 2025. As it relates to where they settle beyond that, what I'd say is -- and Matt can speak this further is the development climate certainly has been challenging for a number of reasons, given what we've seen in-construction costs, what's been happening with capital costs and the impact, particularly on merchant builders across our regions. So given the fact that starts have come down and the fact that the gestation period for construction in our coastal markets is fairly lengthy given the product type, it wouldn't be a surprise to see deliveries for our -- again, coastal established regions to continue to trend down over the next couple of years, given what we've seen in terms of starts activity and the underwriting associated with new projects in those same regions. So hopefully that answers your question.
Eric Wolfe: That's helpful. And then for the four Sunbelt apartment projects you started this quarter, could you just talk about the underwritten yields on those and how you're looking at the value creation or margin on those projects? And I guess for Austin specifically, it's certainly been a market that I think people expect supply to weigh on it for a little while. So just curious if there's something specific about that project that lets you get to a higher yield than maybe the overall market would achieve.
Matthew Birenbaum: Hi, sure. Hi, Eric, this is Matt. I can speak to that one. So we did start four deals this quarter, all of which were in expansion regions, two in North Carolina, two in Texas, and those deals are underwriting on today's rents to around a 6%, which would be on the tighter end of our range of development yields. I think our development starts for the year across the whole book is more like low to mid 6%, 6.3%. So it'd be at the lower end of that range, but still well in excess of our cost-of-capital and well in excess of where we think cap rates our assets would be trading. Every deal is different. So there are unique characteristics. The deal that we started in Austin, that's a parcel of land that we've owned for a couple of years and it's the first phase of what could be eventually a 1,300 or 1,400 unit garden deal. So it's -- there are some unusual costs loaded into the first phase because we're front-loading a lot of the infrastructure and amenities of what's really going to be kind of a signature community for us in that market. And that's our first start -- our first investment in Austin. We've identified Austin as one of our expansion regions really for four or five years, but have been pretty cautious about it up until now. But we're pretty bullish about the timing of that start in particular, because we think it's a nice match between hitting the low point on hard costs, which have come down. On that deal, hard costs are down double-digits compared to where they would have been 18 months ago when we could have started the deal when it was first ready to start. And when you think about that asset won't be in lease-up until '26 and we feel by that point, we should be facing very little new competition and with a basis that we like quite a bit.
Benjamin Schall: Eric, I'll add a couple of additional comments to your question on sort of relative positioning. As we think about leaning into external growth and development today, one is the cost of capital advantage, right? We've got a cost of capital advantage relative to our private sector competitors. And the second is, we are increasingly able to drive incremental yield from our new investments, both on acquisitions and development. And a lot of that goes from taking our operating model transformation in those initiatives and bringing those to new investments. And so obviously, project specific and submarket specific, but in a lot of these projects, we're able to generate 30 to 40 -- 30 to 40 basis points of incremental yield by tapping into that strategic set of capabilities.
Eric Wolfe: Got it. That's helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Jamie Feldman with Wells Fargo. Please proceed with your question.
Jamie Feldman: Thank you. I guess, sticking with development, can you talk about your thoughts, your early thoughts on what's in the pipeline that you could possibly start in '25? And I guess just kind of continuing with a similar discussion with the starts you've done all-in the Sunbelt, I mean, clearly, Sunbelt is recovering from a supply glut, but who's to say it can't happen again? The Austin project certainly sounds unique, but can you just talk through how you think you can navigate development in the Sunbelt better differently than people who are facing a lot of supply here as we just think about the longer term based on the projects you're starting?
Matthew Birenbaum: Yes, I guess I can speak to that one, this is Matt. When we look at our '25 starts book and we do think that we have an opportunity to increase our start volume further in '25, could be a range and we're not providing guidance at this moment, but we could certainly see increasing our start activity next year to something on either side of a range of about $1.5 billion -- from $1.050 billion this year. So we are ramping it up partially in response to what Ben was talking about where we think we can get a greater share of a lesser number of starts given our balance sheet and our capital position and the capabilities we bring to it. And it's really a mix, so I think this year our start activity will be about 40% to 45% in the expansion regions, probably be similar to that, maybe a little less as a percentage next year. So we do have a couple of starts on the West Coast where development economics have been under pressure for quite a few years. We're starting to see green shoots there, both on the operating side and on the hard cost side, some pretty significant savings. So we have a large deal we could start next year in San Diego. We might wind up starting a deal in the East Bay. We have a garden deal in Denver that would be an expansion region. We have more kind of higher yield business to start in New Jersey, a deal here in the Mid-Atlantic, opportunities in Boston, a deal in Palm Beach County in Florida. So it's a mix. I would say the product tends to be lower density garden, kind of simpler construction. That's where it tends to be working better right now. And if more likely, it will be in more in the expansion regions or some of our -- I'm sorry, in the established regions some of our expansion regions, Denver and Florida, in particular, Southeast Florida, assets are trading more generally above replacement costs there. There's probably a little more pressure in North Carolina and Texas, and that's where it really does depend on the product and the submarket and specific -- the specific dynamics of the site you're looking at.
Jamie Feldman: Okay. That's very helpful. Impressive $1.5 billion number. I guess just switching gears to expenses. We appreciate the detailed line-by-line view for next year. I guess two ways to ask the question. One is just focusing on insurance specifically, I mean, clearly a lot is happening in Florida, happened in Florida. What gives you confidence that insurance can go lower in '25? And then also just if you were to boil down this third column on the right, do you think your expense growth rate is higher or lower in '25 than '24, if you're even able to answer that question?
Kevin O'Shea: So Jamie, this is Kevin. I'll start on insurance and Sean will probably follow on the broader look on OpEx for next year. So in terms of insurance, this year's expected insurance expense increase of about 10%, just to kind of give you some context, it's being driven primarily by increases in property insurance premiums and losses where the premium increases from property relate to our May 2023 renewal that continued to affect us earlier this year. But we had a roughly flat property renewal in May of this year, very successful in that regard, partly due to the kind of the abatement of decline in insurance premium pressures in that property insurance market relative to prior years. And that flat property renewal this past May provided some relief from the impact of higher premiums in this year's numbers and into next year. As we move into 2025, we just see based on what's going on in the various insurance markets that we have, a continued movement towards stabilization in program costs, as we look to renew property and other types of insurance next year such that we expect to generally renew those at more typical growth rates. Our property renewal is in May, and as you know, we have very little exposure to the high risk areas, where there have been problems such as in Florida, where we have limited exposure to Southeast Florida where there's concrete construction and generally have more of a coastal footprint. So we've been insulated from a lot of those pressures as well. The only exception we see with respect to insurance is liability insurance, which is seeing some above average premium increases, but fortunately, liability insurance comprises less than a quarter of our overall total insurance spend. So as a result, when you put it together and look at insurance costs for next year, while it's still early, we currently expect our overall insurance costs to be more in the mid to high single-digit range for next year, which is closer to more normal levels for us.
Sean Breslin: Jamie, as it relates to the broader question about the direction of OpEx growth in 2025 relative to 2024's growth rate, yes, the purpose of the slide was to give you some general sense that we do expect the growth rate to ease in 2025 relative to 2024. And the main callouts as it relates to that are items that are relatively well-known. For example, the 421-a and other pilot programs. That's about an 80 basis point impact on the 2024 overall growth rate that will diminish somewhat as we get into 2025. In terms of our operating initiatives, AvalonConnect will be pretty much 90% deployed by yearend '24. There will still be some roll-through of leases in '25, but the gross impact of that in 2024 on total OpEx growth was 120 basis points. That's the forecast. So that will come down. Just those two items alone will lead to some easing there. We don't see pressure points in the various other categories that would overcome the impact of those two items as an example. So we do expect growth rate to come down in '25 relative to '24.
Jamie Feldman: Okay, great. Thank you. Very helpful.
Operator: Thank you. Our next question comes from the line of Adam Kramer with Morgan Stanley. Please proceed with your question.
Adam Kramer: Hi guys, thanks for the time. I just wanted to look at the kind of projection for improvement in lease growth in November and December. I guess just maybe kind of whether it's just easy comps or kind of what are the other maybe indications or things you're seeing in the portfolio today that kind of give you the confidence that, okay, things could reaccelerate here in the last two months of the year relative to October?
Sean Breslin: Yes, Adam, this is Sean. I can take that one. So first, in terms of high-level strategy for us, as I mentioned on the mid-year call, we had a nice run-up in occupancy at the beginning of the year kind of throughout the first quarter. And so we started pushing harder as it related to rate growth and we were able to do that through Q2 and most of Q3, which is the time when you want to do that given the heavy lease expiration volume, roughly 60% of our leases expire during those two quarters. So that's when you want to get it. But in terms of overall strategy then as you get into September and October, you do want to sort of stabilize occupancy as you head into slower leasing season. So as we move through September into October, you saw that in terms of the deceleration, particularly on the new move-in side. So that was part of the broader strategy. As it relates to where we are today, occupancy is relatively stable, and as I mentioned in my prepared remarks, given the softer comp in terms of where asking rents were in Q4 of 2023 relative to where they are as of now, asking rents are about 3% higher than where they were last year. So where we are signing leases currently is presenting a nice spread on the move-in side. So as we look forward, you know, October blended rent change was 1.2%. We see it ticking up into the high 1% range for November and then the mid-2%s in December, our expectation is that all of that is really on the backs of new move-ins, which were down about 180 basis points in October, but we expect that to flip to be modestly positive in November and a little over 100 basis points in December. Renewal offers were already out. We negotiate with residents, so for the most part, what you're going to see is the improvement coming on new move-ins as we move through November and December, given where asking rents are today.
Adam Kramer: That's really helpful. Thanks for all that color. And maybe along similar lines, kind of a forward-looking question here just on the bad debt improvement. So it looks like 170 basis points is kind of the forecast for this year. I know it's still early. I know it's a tough line-item to maybe make a call or predict, but just maybe a sense of the whether it's the level of bad debt that you can get to next year or maybe the other way of asking it is just how long could it take? Will it take potentially to get back to the pre-COVID kind of bogey level of bad debt as you think about next year and going forwards?
Sean Breslin: Yes, good question. And everyone has probably a different crystal ball on that one of which probably none of ours are 100% accurate just given the nature of the issue, which is really highly dependent upon various things outside of our control in the various regions. So obviously, we've seen a nice improvement as it relates to the performance this year coming down roughly 60 basis points year-over-year. From 2022 to 2023 had come down 140 basis points, so a more significant improvement. My expectation is that by the time we get through 2025, we're probably not back to a fully stabilized or normalized level, but we're making good progress towards it. And what we use to sort of estimate that is the volume of skips and [evicts] that we see-through the portfolio. So for example, we saw 300 plus evictions in the third quarter. We have about 1,300 accounts that are still sort of sitting out there that are needed to be processed through either a skip or evict situation. So it's certainly -- at that run-rate, it's certainly at least a year. My guess is more likely a little bit more than that. So it's probably as you get into 2026 that we would start to see some normalization as opposed to expecting that to occur in 2025.
Adam Kramer: Thanks so much for all the detail.
Sean Breslin: Yes.
Operator: Thank you. Our next question comes from the line of Steve Sakwa with Evercore ISI. Please proceed with your question.
Steve Sakwa: Great. Thanks. Good morning. I think, Sean, you mentioned that renewals were out for November, December, but I don't think you quoted a figure on those. Could you share that? And I guess just how much negotiation is going on kind of on those renewals today versus maybe what's happened over the last six to nine months?
Sean Breslin: Yes. I mean, what I can tell you is our expectation for November and December, I talked about the move-ins. On the renewals, we're expecting renewal achievement to be in the high 3% range for both November and December based on what we already know today that's signed as well as the expectation for negotiation spreads. So where those renewals went out, it's going to be irrelevant at this point. It's more kind of where they're trending and that's our expectation for November and December is high 3%.
Steve Sakwa: Okay. And then, Kevin, I know you have the forward equity that's kind of sitting out there. Are we just assuming given Matt's comments about the accelerating development pipeline that the forward equities basically used to partially fund development opportunities versus acquisitions?
Kevin O'Shea: Yes, that's correct, Steve. That was what our intention was when we executed the forward equity deal back in early September. It was intended to support an elevated level of development starts next year. So we don't anticipate issuing the shares under the forward this year, but expect to do so next year as we kind of ramp development starts.
Steve Sakwa: Great. Thanks.
Operator: Thank you. Our next question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets. Please proceed with your question.
Austin Wurschmidt: Hi, thanks for taking the question. Just going back to new starts in the expansion markets and the fact that you underwrite on current yields. I mean, should we read into this that you think rents have bottomed in those expansion regions at least within the submarkets you're developing or that -- I guess any additional pullback would be short-lived.
Matthew Birenbaum: Yes, Austin, it's Matt. I think, the reason why we underwrite on an untrended basis is we feel that that's pretty conservative that on average over time, rents grow. So we're not counting on that trending of the rents to make the deal work. We wouldn't start a deal that only works because of trended rents as opposed to current rents. So we're comfortable with our yield and our basis on those deals we're starting now in today's environment. And then it's really everybody can have their own view on what happens going forward. I would say any deal we're starting now, we're probably not leasing it for two years or maybe a year and a half. So I do think that in almost every case, we would think markets by that time should have positive momentum to them. What happens between now and then it's going to vary from market-to-market. And honestly, that's probably more relevant for our acquisitions in our development because there we are stepping into a rent roll and whether that existing rent roll has lost lease or gained lease in it, will affect our kind of short-term kind of year one yield and that in turn weighs on the IRR of the investment. So it's probably subject to a little more scrutiny on acquisitions than on development just based on the greater value creation margin there.
Benjamin Schall: Also, I'll emphasize a couple of other components in terms of our lean-in which expands on -- we're talking about earlier on the call. As you know, as we think about development yields, both established regions and expansion regions, we're focused on 100 to 150 basis points of spread to both underlying cap rates and market rates and our cost of capital. So Kevin spoke to our cost of capital on next year's set of starts, right? We've locked that in at a five. We have over the last six months, not a huge amount of transaction activity, but we have gotten more visibility on transaction activity, which has given us more confidence around where underlying values are. And then the third piece is, we have seen construction costs come down, not everywhere, but in a lot of our regions, so when we think about our long-term basis or stepping in at this point in a time, that also has us leaning into net new external growth.
Austin Wurschmidt: Yes, both of your responses, appreciate the color there and they kind of lead into the next question on the transaction market. And just curious, are you seeing more investment opportunities within expansion markets start to come forth, and with the equity proceeds now to help fund the development capital commitments next year, does that enable you to accelerate the paired strategy, the paired trade strategy given I think there are some limitations on capital gains from annual dispositions. Thanks.
Matthew Birenbaum: Yes, it's a good point, Austin. And I would say yes. To the latter question, yes, to the former question, not so much. So the transaction market, it's still pretty thin, there's still not much activity and we're not seeing distress. In fact, a bunch of us were just at the ULI conference last week and everybody was talking about that and the lack of kind of distressed opportunities. And if you had asked me 30 days ago, I would have said the transaction market seems like it's about to finally break 3% and get back to a robust level of volume. That was when the tenure was kind of in the mid-3s, 3.6%, 3.7% range and there was a lot of optimism and confidence. It's a volatile time, and obviously, with the loan rate moving up quite a bit, I think that we've seen a pullback on transaction activity just in the last 30 days. So we are -- we continue to be in this environment where our select assets that meet the criteria that select buyers are looking for will trade. And as Ben mentioned, we've gotten more confidence in where those asset values are and a lot of folks are looking for the same kind of stuff to buy, including us. But we haven't seen kind of the large-scale transaction activity that we would like to see because we would like to do more portfolio trading. So it looks like this year, so far, we've sold $590 million and we bought $325 million. We're not done yet. We will probably have at least one more disposition and hopefully another acquisition or two before year-end, but we're going to end up the year net seller of, call it, $150 million to $200 million. Our goal would be to be net neutral and to be able to buy at the same volume as we're selling. And as you point out, we don't need the net disposition capital to fund the growth through development. So -- and we're happy with the trades that we're making. We feel like we're selling assets that are significantly older, that are a much higher price point that we had -- there were good investments in our established regions for many years, but which don't necessarily have the same growth profile as what we're buying and also kind of our regulatory exposure is part of that strategy as well. So all of those things continue and we certainly hope to be able to do more of that transaction trading in '25.
Austin Wurschmidt: Great. Thanks for the time.
Operator: Thank you. Our next question comes from the line of Josh Dennerlein with Bank of America. Please proceed with your question.
Josh Dennerlein: Yes, hi guys. Thanks for the time. Just looking at the lease rate growth across the markets, just two kind of stood out to me, it was Pacific Northwest and Northern California. Any kind of color you could give on maybe the decel going into October versus what you saw in 3Q?
Sean Breslin: Josh, this is Sean. I mean, what I say with sort of a broad-brush is, yes, new moving rent change pretty much came down in every single region. And as I mentioned, that was sort of the strategy to sort of help stabilize occupancy as we went into the slower leasing season. And the one thing I would just point to is that Seattle tends to be more seasonal than average. And therefore, as you are attempting to build occupancy, any market that is more seasonal than average, you're going to take it a little bit harder on the new move-ins relative to maybe some other markets that aren't quite as seasonal. That's really sort of the primary issue for Seattle. In Northern California, really nothing significant to note there. It's kind of a submarket-by-submarket decision based on availability and pricing and the occupancy targets. So I wouldn't read too much into it other than in those particular submarkets, we gave a little bit more to shore up on the new move-in side.
Josh Dennerlein: Okay. I appreciate that Sean.
Sean Breslin: There's not a lot, there's not a lot of volume, keep that in mind.
Josh Dennerlein: Okay, okay. Maybe on Seattle in particular, like I think our competitor said they were hearing, it felt like they were seeing more traffic after Amazon's return to office announcement. Are you guys seeing that or anticipating any kind of benefit?
Benjamin Schall: Yes. No, we've seen that really kind of starting back in Q2, and Seattle is one of the regions that has performed much better than we originally anticipated through 2024, in part due to Amazon's callback and people sort of slowly and steadily getting closer to, or in the Seattle MSA. There are other employers doing the same thing. So I think overall return to office and the trend to return to office, whether it's Amazon and the impact in Seattle or announcements from Salesforce about calling people back in January to San Francisco, all those things are a positive trend for those markets. I would say on the Salesforce side in San Francisco, we started to see early signs of it, but there's probably still more to come, whereas Amazon made that announcement quite some time ago, and we've seen movement throughout Seattle as a result of that for a good portion this year.
Operator: Thank you. Our next question comes from the line of Brad Heffern with RBC Capital Markets. Please proceed with your question.
Brad Heffern: Yes. Thank you. Yes, maybe I didn't catch this, but if -- but could you guys give a lost lease number?
Sean Breslin: Yes, Brad, this is Sean. We actually haven't, but overall lost lease as of November 1 is about 100 basis points across the portfolio, slightly higher in the East than the West and we're actually in a modest gain to lease situation in the expansion regions.
Brad Heffern: Okay. Thanks for that. And then you mentioned in the slides that the DFP program now covers build-to-rent. That's new to me at least. I guess, can you walk-through that addition, especially given it isn't a property type that you develop?
Benjamin Schall: Yes. So on the build-to-rent, the BTR space, we have made a decision to more formally advance our plans there. And we consider it an expansion of our existing business. We've been building townhomes, purpose-built townhomes really since the beginning of AvalonBay. We do it today. A lot of times we're building townhomes in conjunction with apartment flats and sometimes we're building full townhome types of communities. And so it feels like an opportunity for us to take what we do well on the operating side and on the development side and bring it into this, I'll call it, expanded set of opportunities. As we -- we are organizing specific resources around the opportunity set. In the nearer term, you're likely to see more of our focus, one, be on townhome communities within the larger scope of BTR and second, in terms of the growth channels, to be via acquisitions. And so we had an acquisition in Austin, which was a full townhome community and through our developer funding program, which is the Plano project that you referenced. So we're excited about the opportunity set and I think we can really bring our strategic advantages to bear there and provide more growth opportunities going forward.
Brad Heffern: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of John Kim with BMO Capital Markets. Please proceed with your question.
John Kim: Good morning. On your building blocks for same-store NOI growth next year, I think the one item that you haven't addressed yet on this call is property taxes. Do you expect that to go down next year and this is following a year where asset values have gone up and you've increased your Sunbelt exposure where the rates are higher. Can you just comment on just why you see taxes going down next year and maybe the quantum?
Sean Breslin: Yes, John, it's Sean. The main driver and we haven't settled all of our property tax budgets yet, but the main driver that will impact the growth rate for property taxes in 2025, particularly relative to 2024 is a modestly diminished impact from the expiration of various tax abatement programs, notably the 421-a program in New York City, which boosted overall expense growth by roughly 80 basis points this year, and we expect that to come down next year. So that will move the needle, all else being equal based on what we know today in terms of changes in assessed values or rates across the other markets when you have something that significant.
John Kim: Okay. That makes sense. And then on development yields, I know you typically outperform your initial projections once you stabilize the projects. But the yields on your current pipeline are now 5.9%, which is slightly lower than it was last quarter. Were there any projects that underperformed as far as rent levels or budgeted costs versus your expectations?
Matthew Birenbaum: Yes. Hi, John, it's Matt. No, I mean really that's just a mix change that we had two deals complete last quarter whose yields were in the high 7s, which came out of the basket. They're no longer in the development bucket, they're now in other stabilized. And so -- and we added four deals that were around a 6%. So that's really -- the change there is really just a basket mix. The deals that we have that are currently in lease-up, which we don't have that many of, I think it's only 5%, they are running still ahead of pro forma, not as much ahead of pro forma as some of the deals we completed earlier this year. As we're now moving into -- we're now getting maybe a couple of years away from kind of '22 when we had pretty aggressive rent growth. But they're still running $175 per month ahead on rent and 20 basis points ahead on yield. So -- and that 5.9% -- what you'll see over the next couple of quarters is that number will start to move up into the 6%s, into the low 6%s and then probably by this time next year into the mid-6%s as more of the deals that we started this year and in '23, which were underwritten into the 6%s start and more of the deals that started in '21 and '22 when cap rates were 3.5% and yields were 5% as those deals complete and roll-out of that basket, you'll see it rise.
John Kim: Thank you.
Operator: Thank you. Our next question comes from the line of [Anne Chan] with Green Street. Please proceed with your question.
Unidentified Analyst: Hi, thanks for taking my question. Going back to your comments on the build-to-rent communities, are you anticipating acquiring any detached single-family home build-to-rent communities as well or stick to the more townhome like product? And if so, can you give us a sense of the size of the pipeline you're evaluating?
Benjamin Schall: So on your first question, Anne, detached BTR product is in the -- in the possibility set. It's not where we're necessarily starting. We're going to, as I said, emphasize the townhome product a little bit closer to our regular way activity. But purpose-built communities generally in the unit range of 80 to 130 units per community, places where we feel like we can bring our -- if we're going to buy an asset, particularly, bring our operating heft and operating scale to these communities, which is when we think about the space, one of the opportunities is there aren't many institutional large scale operators in this space. And so in places where we can have both apartments and BTR, we feel like there are synergies that can come in and around that mix. We haven't defined the pipeline at this point. We haven't set a specific target in terms of the percentage of the overall portfolio, but we have dedicated resources and it will be an area of incremental emphasis over the next 12 to 18 months.
Unidentified Analyst: Thank you. And just moving over to construction costs that you were talking about earlier. They have been shifting down. Could you also provide a sense for how land values have trended over the last few months and the construction, the labor costs in particular?
Matthew Birenbaum: Yes, Anne, it's Matt. Land values are usually the stickiest part of the equation in development, and it is completely local. So it's hard to generalize on that. We have seen and we highlighted actually last year at our Investor Day how one of the deals we have under construction now in Quincy Mass, we were able to buy that land at 40% less than where it would have traded at the peak of the frenzy. So there are situations where we've seen that kind of move. I'd say in California, not a lot of land is trading because it's very difficult to get development to underwrite there. But to the extent it does, that's where we've seen some significant land retrenchment. And it's generally places -- those kind of markets where land represents a very high percentage of the deal cap. In some of the Sunbelt regions in North Carolina, even in Texas, the land is not that high a percentage of the deal cap. So whether you're paying 30 or 35 or 40 a door for the land, that's not really what's going to make the difference. So there is some give back there, but probably not as much. So it varies market-to-market, but it's not been -- with a few exceptions, I would say it hasn't been kind of a major move across the board.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Amy Provost with UBS. Please proceed with your question.
Amy Provost: Hi, thanks. What is the outlook for when the expansion markets could reach an equilibrium in terms of supply and demand and see a return to some pricing power?
Benjamin Schall: Our expectations for 2025 is particularly the high supply submarkets in the Sunbelt regions are going to continue to face fairly meaningful pressure. And then the impact on rent rolls and cash flows for those properties in those types of submarkets would then roll over into 2026. Start volumes, as we all seen are definitely coming down. I would emphasize they're coming down in both the Sunbelt and in our established regions. So as you get out into 2026, kind of all else being equal, we do expect lower levels of supply, and I'd say sort of equal levels of demand as we think about demand drivers in our established regions relative demand drivers in our expansion regions.
Amy Provost: Okay. And then a quick one. What assumptions are baked into the earning calculation? Does this include your prospective rents through the end of the year?
Sean Breslin: Yes, Amy, it does based on the numbers I described previously. So yes, it does.
Amy Provost: Great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Rich Anderson with Wedbush. Please proceed with your question.
Rich Anderson: Hi, thanks, and good morning. So clearly, you're sounding a little bit more upbeat on 2026 in terms of timing new deliveries. But what's the range of economic assumptions that you're using to get there, particularly for next year? I'm -- you obviously got some idea about where the broader economy is going, employment and so on to get you comfortable with the year following. So I'm just wondering if you could give a picture of what the broader underlying assumptions are for the next year to get you sort of confident in 2026 deliveries. Thanks.
Benjamin Schall: Yes, sure, Rich. I'll provide some color and context and really focus on our sort of economic outlook for 2025 at this point. Consensus and we look to the National Association of Business Economics as a guide in, and around consensus generally has job growth slowing in 2022 relative to 2024 going from sort of two million net new jobs down into the 1.5 million type of range. A couple of call outs, one is potentially the mix of jobs next year could look different than this year and be higher income jobs and jobs in what we would consider our knowledge-based economy, our core type of customer. So that's leaning in a little bit. Wage prospects also for our core customer have continued to look strong. Those also look strong as we're heading into next year. And then generally, this kind of -- sort of the job outlook to the supply outlook, you sort of do a compare and contrast of '24 relative to '25, maybe jobs are slowing a little bit, supplies are coming down a little bit. But across the country in a lot of markets seems fairly consistent from a jobs and supply ratio. And so as we think about what are the types of markets that are going to outperform next year, they're going to continue to be the ones that have lower levels of new supply and the ones that are going to continue to be under pressure going to be those with higher levels of new supply coming online.
Rich Anderson: Okay. So with that color, what's the bull case for owning multifamily next year? It sounds like you got some decent economic observations and you're feeling generally okay, but equity residential describe things as good. And that's, I guess, good. But I just wonder if you -- is it sort of just a stable sort of not sideways moving year next year to the -- to the bigger prize in '26 and '27 or do you think it's more optimistic than that for next year?
Benjamin Schall: Yes. So for us, Rich, I'll highlight a couple of areas. One, we expect our suburban coastal business to continue to outperform. I think you look at the building blocks and the drivers that we've talked about going into next year and that Sean detailed, we feel relatively positive there. The other component is the lean-in and around external growth. And we've talked about development activity and the -- and the buildup and the prospects there. And then potentially the transaction markets and I think with some -- hopefully some enhanced visibility and stability around rates and cap rates, that leads to some more transaction activity, which when I think about the prospects for next year and going into '26, players with our scale, our cost-of-capital, our ability to generate more value by having assets on our platform, that should also allow us to lean further into external growth.
Rich Anderson: Great. Awesome color, Ben. Thanks very much. Got it.
Operator: Thank you. Our next question comes from the line of Alexander Goldfarb with Piper Sandler. Please proceed with your question.
Alexander Goldfarb: Hi, good morning. Two questions for you. And maybe first, just following up on Rich's question. It's been five years since we've had a normal leasing market in apartment land. As you guys look to 2025, do you think it will be back to a normal leasing market or do you think there will still be some anomalies in what we see as we go through 2025?
Sean Breslin: Hi, Alex, it's Sean. When you said normal, just kind of normal seasonal patterns of pricing is what you mean specifically, I assume?
Alexander Goldfarb: Yes. I mean we had -- yes, 2020 was COVID and it's been topsy-turvy since then.
Sean Breslin: Yes. I mean, I think for the most part, if you think about what -- how the pricing curves are generated kind of follows the patterns of demand. And our expectation is the traditional seasonal patterns for demand aren't likely to shift anytime soon in terms of the reasons people move, when they want to move, what they're desiring in terms of apartments and things of that sort. The two things that are a little unusual that I think maybe still haven't fully played out, but are sort of in the background beyond what Ben talked about in terms of job and wage growth is in particularly in our coastal markets is the return to office trends. It certainly has gotten better. I'm not sure we felt the full impact of that yet across all of our coastal regions as people are sort of inching their way back to what they think is normal state. And we mentioned earlier, Amazon's announcement, Salesforce bringing people back to San Francisco in January that's certainly a positive that helps sort of build confidence in the city, other issues in LA and D.C., and places like that. So I think that's one factor. And then certainly, the lack of affordable for-sale housing in our established regions where the cost to own a home is relative to renting is the widest we've ever seen. Those two, it's hard to tell how those fully play out, but they are still playing out, I would say. You can see it on return to office trends. And on the for sale side, it's really showing up in lower turnover, which we think is going to be durable for a while, but the impact of new households being formed and their options, renting still looks like relative to historical norms as more attractive options -- option. So how those play into the seasonal patterns may not look different, but it may just provide further support for growth in those established regions relative to what we've seen historically.
Alexander Goldfarb: The second question is on site selection, clearly, especially here in the Northeast, lower Westchester, New Jersey have had a lot of floods. As you guys look throughout your existing markets and expansion markets, have you seen a change in the land that you're looking at as far as land that years ago was not considered flood area is now considered and therefore, your site selection has changed? I'm curious if in fact, your site selection has changed based on how you know some of these rivers and such are overflowing with storms.
Matthew Birenbaum: Hi, Alex, it's Matt. For us, I'd say for at least the last six or seven years, we actually do have a pretty formal process for that where every site gets run through a third-party coastal risk model. It's actually a resiliency risk model, which tries to capture wind, flooding, pluvial flooding, fluvial flooding excessive heat, wildfire risk, all those different things. So I'd say we were early adopters of that. And so there are probably sites we've passed on that maybe today would be harder for somebody to get financed than would have been the case five years ago. And we did switch vendors to a more robust reporting format on that, but we've always been pretty mindful of that.
Alexander Goldfarb: Thank you.
Operator: Thank you. Our next question comes from the line of Haendel St. Juste with Mizuho Securities. Please proceed with your question.
Haendel St. Juste: Hi, guys. Thanks for taking the questions. I have two quick ones here. First, I guess is, can you talk a bit about the year-to-date performance of your East versus West Coast markets versus your initial expectations and some thoughts on the relative opportunity ahead in the East Coast markets? Boston, New York, D.C. have been very strong this year, but have tougher year-over-year comparison next year, while some of your West Coast markets, San Francisco and Seattle have easier comps and some RTO upside as you outlined, but less clarity. Thanks.
Sean Breslin: Yes. Haendel, this is Sean. I'll provide a little bit of color there. Yes, certainly what I'd say for this year is we've seen better performance out of Boston, New York City, specifically of the New York, New Jersey region, and the Mid-Atlantic to a certain degree and then also in the West Coast Seattle. In terms of the outlook for those markets, yes, the earn-in, if you want to describe it that way, it certainly is a little more robust in those markets relative to others. So all else being equal, in terms of, as you said, if everything else was equal in terms of rent change across the markets, those ones would outperform in 2025 relative to 2024. But to the extent you see significant momentum due to other factors in the various other markets that haven't performed as well as those in '24 that can certainly overwhelm the earn-in pretty quickly. So I think it's really a reflection of how you want to look at what the job growth expectations are for a particular market, how it blends with supply and then these other trends in terms of for sale housing and return to office and how that they play out. That would really impact the performance in '25 in terms of who is top of the leaderboard versus not?
Haendel St. Juste: Would you care to quantify some of that earn-in for those East versus West Coast markets or perhaps weight?
Sean Breslin: Yes. I mean, we can look at it. I mean, I give an overall number of 110 basis points. The earn-in on the East is about 130 basis points and the earn-in on the West is about just under a point, it's around 94 basis points, 95 basis points. And it's a forecast. So things can move around a little bit here. And then as I mentioned earlier, as we were talking about lease-to-lease, loss-to-lease, or gain-to-lease as it relates to our expansion regions, it's actually a little bit negative around 20 basis points.
Haendel St. Juste: Got it. Appreciate that. And then one more if I could, just on the other income. I think it's up 15% or so this year, another 10%, I think you outlined for next year. I guess I'm curious on what's the remaining opportunity there, what's driving those numbers into next year? And then how should we think about the associated costs related to some of the initiatives that you'd be rolling out next year? Thanks.
Sean Breslin: Yes, I got no problem. Yes, so we do expect to -- the growth rate for other rental revenue to decelerate in '25 relative to '24 based on what we know today. There's a number of different categories that are producing sort of above-average growth, but the primary one that's driving it to that level has been our AvalonConnect offering, which will still be present in 2025 because we put the programs in place, it gets fully deployed, will be about 90% deployed by year-end 2024 and then the revenue flows through as the leases expire in 2025, since you can't push it through or people are already on existing leases. And so that's the main driver. And then in terms of OpEx trends, as I mentioned earlier, the impact for 2024 as a result of some of the initiatives is around 120 basis points in terms of the impact on total OpEx growth in 2024 and we do expect that to diminish pretty materially as we get into 2025, again, because the program is more fully deployed, it's not impacting as many units. So that will soften in 2025.
Haendel St. Juste: Got it. Appreciate the color.
Sean Breslin: Sure.
Operator: [Operator Instructions] Our next question comes from the line of Linda Tsai with Jefferies. Please proceed with your question.
Linda Tsai: Hi, thanks for taking my question. Just on the view of that like effective rent is reaccelerating into year-end, does this hold into January too? The chart on Page 12 looks like the comparisons stay reasonable in January. Would you expect new lease growth to be positioned to be positive as well?
Sean Breslin: Yes, Linda, we haven't provided a forecast yet for January as we're sort of still working through that. We felt comfortable doing that for November, December just given the volume of lease expirations in those months, what we already know about it and the shift in asking rents more importantly. So we're not providing that for January, but feel-good about what we did provide for November and December.
Linda Tsai: Yes. And then just on BTR, how would yields differ between townhomes over, say, single detached? And then from the perspective of resident preferences, where do townhomes sit between traditional multifamily and single attached homes?
Matthew Birenbaum: Yes. Hi, Linda, it's Matt. It's early to tell because it's still a relatively new and quickly expanding sub-sector of our business of rental housing more broadly. But I would say that our experience with the townhomes that we do own and what we've seen from third-party's, the yields aren't really significantly different and for that matter, probably nor are the cap rates. As it relates to who is the customer and is the customer different for single-family versus the townhome, I think it probably starts with location that where you're going to see townhomes is in closer in locations where, you know the land is too valuable to kind of have quarter acre lots or what have you and people developing townhomes at 10, 15, 20 to the acre. And as you get further out, you start to have more land where you're able to do a single-family, true detached single-family. I don't -- I haven't seen a lot. I don't know that there's a huge difference in the customer base other than obviously, there are some customers, particularly empty nesters for whom a three-story townhouse might be a bit much. You know, families with kids also would probably prefer the larger yard. We do get a fair number of townhome BTR that do have their own yard as well as their own garage. That is something that's important. And I believe the community we just started there in Plano has yards as well as garages. So, but you -- so there are probably subtle differences in terms of life stage. So the school district is probably more important for an SF single-family product than a townhome product. But yes, this is all early days and we'll certainly learn a lot more as we get more of this product out there.
Linda Tsai: Thank you.
Operator: Thank you. Our next question comes from the line of Alexander Kim with Zelman & Associates. Please proceed with your question.
Alexander Kim: Hi, thanks for taking my question. I wanted to ask about your apartment renter base. Have you seen any demographic shifts recently as millennials continue to age and move-out to buy remains low? How are the younger age cohorts showing up in your portfolio?
Sean Breslin: Yes. So this is Sean. I wouldn't say there's been any meaningful shifts recently. Obviously, as we went through COVID and then initially started coming out of COVID, there was a lot of movement initially in COVID, not as much doubling up, more single-person households. All those things have sort of transitioned through COVID, I'd say have stabilized at more normal levels, the percentage of roommates, et cetera. So I don't think there have been any significant shifts. I think as you look forward, just given the nature of demographics and some of the development Matt was talking about, I think, being more heavily suburban, some of the townhome products certainly fits the aging millennial profile where they want to be a little more infill in our established regions. It's very expensive to buy a home. So if they get a nice quality townhome product with a small yard or a nice deck and be in a good school district, that's highly attractive. So we are making sure our portfolio is well-positioned for the demand that's to come, which may represent slightly larger households when you include kids in some of these markets than what we've seen in the past. But looking at it over a short period of time, you get a lot of false signals in terms of just some noise in there that I wouldn't necessarily say has really resulted in anything significant in terms of shifts in the last few quarters.
Alexander Kim: Got it. Makes sense. And then switching gears here to bad debt. You mentioned that you anticipate bad debt to continue to improve in 2025, I mean, can you talk about which markets are driving that change specifically or may have more runway for improvement as well? Thanks.
Benjamin Schall: Yes, happy to do that. I mean the regions with the greatest opportunities, I'll say top four or five New York, New Jersey, particularly the New York City market, still running in the low 2% range. The Mid-Atlantic low 2% range as well, particularly the D.C. and Maryland being the outlier issues relative to Virginia actually doing pretty well, a little bit in Northern California still running high relative to historical norms, but it's about 125 basis points. LA still running a little over 2% with LA and Ventura being the issues there within Southern California, Orange County, San Diego, getting closer to norm at 70 to 90 basis points. Virginia, as I mentioned, around 70 basis points. Boston is back to 60%, so it's really New York, New Jersey, the Mid-Atlantic and then to a certain degree, Northern California and LA are the markets where we need to see more significant improvement as you move through 2025.
Alexander Kim: Thanks for the color.
Benjamin Schall: Yes.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Schall for any final comments.
Benjamin Schall: Thank you everyone for joining us today and we look forward to seeing many of you shortly at Nareit. Have a good day.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.